Paul Nester: Good morning. I'm Paul Nester, President and CEO of RGC Resources, Incorporated. Thank you for joining us. We hope your Monday morning and you week is all to a good start. With me today are Tommy Oliver, our Chief Financial Officer; and David Garcia, our Director of Financial. Welcome again and thank you for joining us as we discuss our Fiscal 2021 Third Quarter Results. We do have a few administrative items to review. We have muted all lines and asked that all participants remain muted. After the presentation is completed, we will be happy to take questions. The link to today's presentation is available on the investor and financial information page of our website at www.rgcresources.com. Let's go ahead and get started. Over on Slide 1, our forward-looking statements disclaimer. This presentation does contain forecast and projections. This morning's agenda is on Slide 2, we will review our third quarter and year-to-date operational and financial results, followed by our outlook for the fourth quarter and full-year 2021 results. We will conclude with an opportunity for you to ask questions. Moving on to Slide 3, we are pleased with the third quarter and year-to-date results of Roanoke Gas. Customer growth and delivered volumes are strong and capital spending is right on plan. As noted on Slide 3, our year-to-date customer growth number of 416 is 11% better than last year. We have previously discussed our new main miles. As expected, we completed another 1.7 miles in the third quarter bringing the year-to-date total to 5 miles, which exceeds fiscal 2020 by 2.7 times. Fiscal 2020, as a reminder, we only had 2.3 miles of new main extension. Moving on to Slide 4, third quarter firm volumes were similar to the prior year. Overall industrial volumes continue to be down, primarily due to the large customer that fuels switch to natural gas and 2020. Customer has in fact switched back to coal in 2021. However many of our Top 10 industrial customers have increased their gas consumption in 2021 when compared to the prior year. On Slide 5, year-to-date firm volumes are up and stronger than weather norms, building suppliers, parts manufacturing, and consumer products manufacturing continue to have noticeable year-over-year increases. Let's review capital spending on Slide 6. We are $2 million lower than 2020, almost entirely due to project timing. Signature project in 2020, the Blue Ridge main extension had approximately $3.5 million of spending through the June quarter in 2020.  Phase 2 of that project has kicked off in July of 2021. Two of our other key projects for 2021, [the Carilion] expansion support project and the Mason Station renewal are underway and should be complete by fiscal year-end. We would like to highlight our new business capital and this relates to those main extension miles we just discussed. New customer mains and services, the capital to support that has increased 54% from 2020 to $4.3 million. We're very happy with that. Tommy will now provide additional details of our financial results.
Tommy Oliver: Thank you, Paul and good morning everybody. To aid in this discussion, we have included our condensed consolidated statements of income on Slide 7. Let's start with our third quarter and year-to-date comparisons. Resources completed the third quarter of fiscal 2021 with earnings of $0.07 per diluted share, compared to $0.15 from the same quarter of the prior year. Year-to-date earnings were $1.23 per diluted share, compared to $1.34 for the prior period. Operating income increased by 15% quarter-to-quarter and 6% year-to-date, largely attributable to customer growth, SAVE revenues, and firm volumes. As Paul stated, we are very pleased with the performance of our Roanoke Gas subsidiary. The decline in net income and earnings per share for the two comparative periods is a result of the reduction in equity and earnings from the Mountain Valley joint venture, which was seized in the second quarter commensurate with limited growth construction. Let's review results from the trailing 12 months at June 30, 2021. As we discussed on our last quarter's earnings call, operating income was favorably impacted by customer growth, SAVE revenues, and firm volumes. However, this was offset by a prior year right off of a regulatory asset, COVID-related bad debt, as well as maintenance initiatives in the last half of fiscal 2020. I’ll now take a moment to discuss the service disconnection moratorium. As we discussed in prior earnings calls, utilities in Virginia are operating under a moratorium, which prohibits disconnection or residential customers for non-payment. The moratorium will expire on August 30, 2021 apps of action by the General Assembly, which is currently meeting in special session. At this juncture, an extension appears unlikely and we are planning accordingly. In addition, there is also a possibility that Roanoke Gas along with other utilities in the State will be allocated additional funds by the State to help our customers with arrearages. I will now turn it back over to Paul.
Paul Nester: Thank you, Tommy. Let's discuss the remainder of fiscal 2021, starting with Roanoke Gas capital on Slide 9. We expect to end this fiscal year at $21.5 million of total spending. Momentum on main extensions and new customer additions is continuing through the fourth quarter and we expect that to continue into the first quarter of fiscal 2022. As stated earlier, several key projects are underway. We have started the renewal of Mason Station, which is one of our older gate stations. This renewal is included in this year’s safe plan with a total project cost of approximately $750,000.  We already mentioned Phase 2 in Blue Ridge, which is an approximate [$1 million 6,800 foot] main extension. That'll be over and above the 5 miles we discussed previously. Some of the spending for that project will spill over to the first quarter of fiscal 2022. Moving on to Slide 10, we do want to give you a brief update on Mountain Valley, and we say brief because there's not really been significant change since last quarter, which is a good thing. So, construction is still ongoing. Actually in our part of Virginia on upland work has allowed and permissible. They've had a good construction season, the weather here has really been hot and dry, which has been helpful. There's really not been any change in the status of the permits or any of the other legal proceedings since the last quarter. The project budget is also still the same with a targeted in-service date of summer 2022. Moving to Slide 11 and wrapping up, let's just review our earnings guidance for this fiscal year. As Tommy already discussed, year-to-date earnings per share is $1.23. However, we're still expecting our full-year earnings to be in the $1.10 to $1.14 range, driven primarily by that equity and earnings decline that Tommy discussed related to the Mountain Valley investment. As you can see on the Slide, Midstream year-to-date earnings per share, we believe will be about $0.02, which is down from the $0.04 at June. That's primarily due to the difference between interest expense [for any] investment and there’s equity in earnings in the fourth quarter. We also just want to give a little note and guidance that we may be in a position to make some additional operating and maintenance expense investments in this fourth quarter similar to last year. There could be a little more bad debt expense come in as Tommy discussed.  We're not a 100% certain on how the moratorium service – residential service moratorium disconnect will go, but we are making plans operationally around that and also trying to manage our reserve for bad debt as it pertains to that. More to come on that as we complete the fiscal year. That concludes our prepared remarks. [Operator Instructions]
Q - Unidentified Analyst: Good morning everyone. [Indiscernible]
Paul Nester: Good morning, Mike. How are you?
Unidentified Analyst: Doing good sir. Yourself?
Paul Nester: Doing well. Thank you for joining us.
Unidentified Analyst: My pleasure. Just two questions, the first, the large customer had switched back to coal, was that done strictly on price or was there another reason they decided to move off a gas?
Paul Nester: Yeah, it truly is an economic consideration, Michael, as you probably know, and recall last year in 2020, with the, you know, severe economic impact related to the pandemic, natural gas prices hit historic lows. In fact, you know, at the Henry Hub, well below $2 per decatherm. And this manufacturer was able to enjoy that low cost last year as a part of their manufacturing process. As we know, the demand for natural gas significantly has increased this year. And we're in fact seeing Henry Hub prices over the $4 decatherm range. And so they did in fact, switch back to coal. Now, interestingly enough, there's also pretty significant demand in the coal markets. Right now, the spot price for coal is, also, you know, at a level that has not been seen in quite some time. So, we're watching that situation carefully. With this company, we have a great relationship with them. And we do everything we can to support them and help them be successful, and particularly with regards to their fuel choice.
Unidentified Analyst: Your comment on coal pricing was why I asked the question. I'm guessing you guys have a pretty good idea now, what the [Delta] needs to be in terms of the gas price versus the coal price for them to for them to switch over. And with coal prices going up that – it might be close to that switching point. The other thing I wanted to ask was on the service moratorium; that expires on what date? I apologize, the call got a little fuzzy there. I didn't catch the date.
Paul Nester: Sorry about that, Michael. It's August 30, at the end of this month.
Unidentified Analyst: August 30. Got it. Okay. Alright, gentlemen. That's all I had. Thank you.
Paul Nester: Well, thank you. [Operator Instructions] We are happy to entertain a few more questions if anyone has any. Well, it doesn't appear there any more questions. So, this concludes our third quarter earnings call. We do, again, thank you for joining us and we look forward to speaking with you again in December to review our full-year results. We do hope you have a great day and a great week. Thank you so much.